Operator: Good morning, everyone, and welcome to the Docebo Inc. Second Quarter 2020 Earnings Call. 
 [Operator Instructions] 
 I would now like to turn the call over to do Docebo's Investor Relations, Dennis Fong. Please go ahead, Dennis. 
Dennis Fong;Investor Relations: Thank you, operator. Before we begin, Docebo would like to remind listeners that certain information discussed today may be forward-looking in nature. Such forward-looking information reflects the company's current views with respect to future events. Any such information is subject to risks, uncertainties and assumptions that could cause actual results to differ materially from those projected in these forward-looking statements. For more information on the risks, uncertainties and assumptions relating to the forward-looking statements, please refer to Docebo's public filings, which are available on SEDAR. 
 During the call, we will reference certain non-IFRS financial measures. Although we believe these measures provide useful supplemental information about our financial performance, they're not recognized measures and do not have standardized meanings under IFRS. Please see our MD&A for additional information regarding our non-IFRS financial measures, including for reconciliations to the nearest IFRS measures. 
 Please note that, unless otherwise stated, all references to any financial figures are in U.S. dollars. 
 Now I'd like to turn the call over to Docebo's CEO, Claudio Erba. 
Claudio Erba: Thank you, Dennis, and good morning. I hope everyone is keeping safe and well. Thank you for taking the time to listen to our second quarter earnings call. Joining me today's call is Ian Kidson, our Chief Financial Officer; and Alessio Artuffo, our Chief Revenue Officer. 
 Before we begin discussing the quarter, I want to take a moment to acknowledge the challenging times we are facing as a society and to voice to our dedication and support for social justice and racial equality. As an organization founded and built on the principle of learning and personal growing development, we believe collaboration and innovation should never be stifled by inequality and hatred. We are committed to strengthening an anti-racist plan and to encourage awareness and action to be taken to full to our office. This past quarter, we [
 [Audio Gap]
 information program to the ACLU with a mention program at the corporate level. We will also observe June 10 as a corporate holiday and are reviewing our list of holidays to create a more balanced and cultural context. 
 These are some of the initiatives we have taken today, and we will endeavor as an organization to constantly improve and create a safe and inclusive environment. 
 This was our first full quarter under a COVID-impacted economy. And I'm pleased to report a continuation in the strong growth momentum we have seen since becoming a public company last fall. This demonstrates the resilience of our business even in these new normal environment. 
 Our ARR grew to $57 million at the end of the quarter or 54% as compared to the second quarter of 2019. This was supported by our year-over-year subscription revenue growth of 55% and the total revenue growth of 46%. We now have over 2,040 customers, and our average contract value increased both quarter-over-quarter and year-over-year to nearly USD 28,000. For new customers added in the second quarter, our average contract value was approximately $37,000, reflecting the ongoing shift in our customer base to midsized enterprise and departments with a large organization. Thus we consider to be our weak spot within the LMS marketplace. 
 Overall, this growth metric show that our business is tracking right in line with our growth over the past 3 quarters since our IPO. As expected, we did see more revenue churn in the second quarter, primarily from smaller companies and those operating in industries directly impacted by the COVID buyers. 
 However, this was more than offset by strong customer momentum as we also realized our highest quarter in new logo sales and upsell performance in our company history. 
 We are seeing demand for our products across a number of fronts, from use cases requiring external training for customers and partners, where we have always been strong, to companies having to move from classroom-led in-person training, programs to virtual training, and across those industry verticals, where we are increasing our sales focus, and I will highlight a few examples. 
 One example of the new logo in the second quarter that is evolving in the way they train is LEGO Education. LEGO Education chose Docebo for a very exciting new learning project, expanding their in-person teacher learning program to the virtual world. 
 LEGO Education will use the Docebo platform to deliver online professional development, supporting teachers' success in the classroom. We were happy to sign LEGO Education in the U.K., and then under an implementation in France, making this a nice upsell win for us as well. 
 We are focusing our go-to-market effort in some key industries where we go, and in the second quarter, added several customers in the financial services sector. These include TD Ameritrade and BPER Banca. The financial services sector is a good target vertical for us with large and dispersed internal and external workforces that are required to meet compliance training obligations and are also consistently upscaling. 
 In the second quarter, Docebo brought on TD Ameritrade as a new customer. The company will be using Docebo to improve the education experience it provides for independent registered investment adviser on their platform, enhancing their professional development, increasing their knowledge of TD Ameritrade service and enabling adviser to leverage learning opportunities that can help keep their team sharp and engaging. 
 Close to my home is BPER Banca, one of the largest Italian banking groups, who selected Docebo to relaunch its training and communication project for all of the company's employees. BPER Banca use Docebo to improve the learning experience for more than 10,000 learners. Mobile learning and social learning will allow end users to be even more engaged and have a higher level of adoption. Strong UX and AI capabilities will guide users through all training and internal communication activities. The Docebo Learning platform will also be used by BPER to facilitate internal content creation. 
 In addition to new logos, we are very focused on expanding our business within our existing customer base. After Walmart selection of Docebo in the first quarter to enhance its walmart.com training program, in the second quarter, Walmart Media Group chose Docebo to help with their internal and professional development needs. Walmart Media Group will also be looking to use Docebo to extend their training to external audiences, including advertiser and the agencies that work with Walmart Media. 
 This is a great proof point as our upselling cross-sell team has been ramping, demonstrating the flexibility of the Docebo platform and the large opportunity we have to address many different learning use cases across department in a large organization. 
 I'm also pleased to report that we hit an important milestone in the second quarter as our main OEM partner became our largest customer with respect to our ARR. OEM partnerships are a strategic area of growth for Docebo, and we have learned a lot in the past 2 years in working with this partner. Today, we have a streamlined process for cultivating and onboarding new OEM relationships that we intend to leverage and expand. 
 In our last quarterly earnings call, we have announced that we have had added our second OEM partner with Phenom People. And last month, we added our third OEM partner, MHR International. MHR is a very exciting partner for us as the leader in the HCM software in Europe that supports the management, development and payment of just over 10% of the U.K. workforce. MHR will offer Docebo's best-of-breed workforce learning and development tools alongside their market-leading high trend integrated HR and payroll platform. 
 When we reported our first quarter 2020 results, we also spoke to the accelerated hiring we completed prior to the broader COVID lockdown. We indicated at the time that we had put on hold any additional hiring until we had better visibility into how the COVID situation was playing out. 
 Based on the demand we have seen in the second quarter and our current pipelines, we feel comfortable cautiously resuming our growing investment in the second half of this year, albeit at a reduced rate as compared to original plans. This means we will begin to resume our expansion program in sales, marketing and support as well as R&D as we look to position the company for growth in 2021 and beyond. Ian will provide some additional color on our expenses this quarter and outlook. But we believe that the current market environment for Docebo is supportive for our continued investment into growth. 
 As always, though, we will be taking a responsible approach on how we deploy capital with our investment to strike the proper balance between revenues and expense growth. 
 Lastly, I want to acknowledge the work of our development team that has done an incredible job in keeping on pace with our planned deliverables and product updates through the month of COVID lockdowns, setting the foundation for our continued success and growth. 
 During the second quarter, we have introduced a new customer reporting tool that help admins better measure the impact of their pending programs, and at the same time, we are helping them to do it faster, which is critical. We also redesigned the front end of our learning platform to confirm as closely as possible to WCAG guidelines to provide learners with a more accessible user experience to people with disabilities. 
 Docebo will be accessible for learners to navigate with a screen reader or a keyboard to complete formal training without extra configuration needed, helping to bridge the gap in delivering the meaningful and factional learning experience for all users that may be subject to a disability. 
 You have heard us talking about our focus on our land and expand or upsell strategy and about our innovation and investment in R&D. With this in mind, I want to update you on some of the exciting new product releases we currently have in beta. 
 The first is a Shape, which is a groundbreaking product in its category and in our industry, that works to solve the problem of automating the process of creating training content at scale. Shape is the first full AI-based training video builder, allowing companies to create video films in a matter of second, in just few clicks, and then apply corrections to the assets that are created. Our plan for Shape is to become a new standard in the AI-based self-content creation space. 
 Second, we know how complex is it to build an enterprise grade learning program and how difficult is to measure its effectiveness and ROI, learning and development leaders who want to be able to manage learning investment and performance and correlate them to an ROI. To accomplish this, we built learning analytics and learning intelligence product that blend the principle of business intelligence but designed it with the L&D buyer in mind. Shape is expected to have a phased launch as early as the first quarter of 2021 and then
 [Audio Gap]
 later in the year, and we are currently in testing with some of our existing customers. The initial feedback from our test customer has been great, both as the potential to significantly expand our addressable market with new and existing customer, helping to increase our ACV over time. 
 In summary, the second quarter was not without its challenges, but we have been able to execute effectively as an organization, maintain our growth trajectory, and I'm excited and optimistic about the opportunity we see both in the near and long term. We will still have to keep a close eye on how broader market economies perform as COVID restriction lift, but the interest in our platform and in pipeline has never been stronger. 
 With that, I will now pass the call to Ian to speak to the financials. 
Ian Kidson: Thank you, Claudio, and hello, everyone. Before I start, I'd like to remind folks that you can find a detailed breakdown of our financial results for the 3 and 6 months ended June 30, 2020, in our press release, MD&A and financial statements, which are now available on our website and on SEDAR. 
 This quarter, we've also introduced the slide deck to accompany our earnings call discussion that is available on our Investor Relations website. For those who want to follow along, I'm starting my remarks on Slide 4. 
 As Claudio indicated, the second quarter presented certain challenges for us, no different than it did for most other companies. Overall, though, we are very pleased with our results. Total revenue grew $14.5 million, an increase of 46% from the prior year period. Subscription revenues grew 55% from the prior year and were $13.4 million or nearly 92% of total revenue for the quarter. 
 Professional services revenue in the second quarter was $1.1 million, actually down 12% from both the prior year as well as the first quarter in 2020. Professional services revenue are generally associated with new local signings and, more specifically, the new logos signed in the preceding quarter. That is why we often have higher than trend line professional services revenues in the first quarter of the year related to the busy fourth quarter of the preceding year. In addition, the amount of professional services associated with 
 [Audio Gap]
 contract can fluctuate significantly. So this variation is not unexpected and will happen from time to time in the future. 
 Our ARR at the end of the second quarter was $57 million, an increase of 54% from the $36.9 million at the end of the second quarter of 2019. Although ARR is not an accounting measure, it is the key metric that we use to evaluate our progress as it is the best predictor of future revenue. 
 Consistent with past quarters, the significant growth in ARR was driven by new customers, resulting in our number of customers increasing to 2,046 at the end of the second quarter of 2020, up from 1,651 at the end of the second quarter of 2019. The disproportionated growth in ARR as compared to the increase in the number of customers reflects our jump in ACV over the same period. We added $4.8 million in net ARR in the second quarter, which is similar to the net ARR we added in the first quarter of 2020 as we continue to see strong sales momentum. 
 As Claudio 
 [Audio Gap]
 we were very pleased with our new logo addition and upsell performance in the second quarter, which was a record for us. Average contract values, or ACV, increased to approximately $28,000 at the end of the second quarter, up 25% from $22,000 at the end of the second quarter last year, and is up from $27,000 at the end of the first quarter of 2020. 
 Slide 5 shows gross profit for the second quarter, which was $11.7 million and compares the $7.8 million in the prior year period, an increase of 49%. As a percentage of revenue, gross profit margin was 80.4% of sales, up from 78.9% of sales in the prior year period. The improvement in gross margin was due to lower professional services as a percentage of our overall revenue, partially offset by higher AWS cost associated with higher utilization rates on our platform. 
 On Slide 6, you can see that total operating expenses for the second quarter increased to $14.9 million and compared to $9.6 million for the prior year period, up by 55%. Included in our second quarter results is a foreign exchange loss of $1.7 million that relates primarily to cash held on our balance sheet and, therefore, is, for the most part, unrealized. 
 Operating costs, excluding this loss, were $13.3 million and generally in line with the $13.7 million in operating costs, also excluding foreign exchange impact that we reported in the first quarter of this year. 
 Sales and marketing expense for the second quarter was $5.9 million compared to $3.7 million for the comparable period in 2019. As a percentage of revenue, sales and marketing expense was 40.4% compared to 37.3% last year. When compared to the first quarter of 2020, sales and marketing expense was basically flat at $5.9 million with higher payroll from the hiring that we completed in the first quarter, being offset by lower travel and entertainment charges that we incurred. Our sales and marketing expense remains within the 35% to 40% range that we are currently targeting, and we don't expect this to change significantly even as we begin to hire cautiously over the next 2 quarters. 
 General and administrative expenses for the second quarter were $3.4 million compared to $3.5 million in the prior year period, a year-over-year decrease of $100,000. As a percentage of revenue, G&A for the second quarter came in at 23.3% compared to the 35.5% that we reported in the second quarter of 2019. It's important to recall that in 2019, we were incurring considerable consulting and professional fees associated with our IPO preparations, and we emphasizes at the time that they were nonrecurring. Our G&A costs this quarter were also down from what we reported in the first quarter results. This successive quarterly decline was driven by lower travel and entertainment costs as well as lower consulting and legal fees. Going forward, we're comfortable that G&A costs will continue to decline as a percent of revenue with a longer-term target of being in the mid-teens. 
 R&D expense for the second quarter of 2020 was $3.3 million and compares to $2.2 million in the prior year period. As a percent of revenue, R&D expense was up slightly to 22.7% as compared to 22.1% for the prior year. 
 Investing in product development remains a priority for Docebo, and we are comfortable with our current levels of R&D spending, but we still expect a long-term targeted investment rate of 18% to 20% in sales. 
 We reported an adjusted EBITDA loss of $900,000 for the second quarter of 2020 as compared to a loss of $1.6 million in the prior year. We reported a net loss of $3.3 million for the second quarter this year, and that compares to a $2.3 million net loss for the prior year period. As noted earlier, the net loss for the second quarter includes a $1.7 million foreign exchange loss. 
 An important implication of the reduced EBITDA loss or EBITDA improvement in our second quarter was that Docebo generated positive cash flow from operating activities for the second quarter of $0.2 million, and free cash flow was near breakeven at negative $35,000. Cash at the end of the second quarter on our balance sheet was $43.0 million, and we continue to carry no debt. 
 As Claudio mentioned, we are going to start cautiously resuming our hiring in support of our ongoing growth over the next 2 quarters. So I would expect our operating expense base will increase modestly over the remainder of the year. This decision reflects our confidence in how and where Docebo fits into the new COVID-impacted world and its related effect on our business. The increase in investment we'll be making will primarily be concentrated into sales and marketing and R&D groups. 
 From where we sit today, in total, the increase in headcount is not expected to exceed 50 bodies, but we will obviously provide an update in our Q3 reporting. 
 I will leave my remarks at that. Thanks for listening. Operator, we'd be happy to take some questions from the analysts at this point. 
Operator: [Operator Instructions] 
 Your first question comes from Robert Young at Canaccord Genuity. 
Robert Young: Maybe just continuing that line you ended with, Ian, the -- what are the changes in your stance getting more aggressive on spending and the savings expected in G&A? What does that imply on your free cash flow breakeven point? I think you'd said by the end of 2021, should we think of that still? 
Claudio Erba: Rob, Claudio speaking. I hope you are good and safe. So I'll let this to Ian, but I want to answer that the fact that we see the demand and the pipeline and all the positive signal from the market make us optimistic on invest [ in ]  our growth. 
 That said, for the financial part, I'll let this to Ian. 
Ian Kidson: Thanks, Claudio. Rob, the reason I thought it was important to point that out was what I wouldn't be comfortable with if folks simply took our Q2 cost base and rolled it forward and then look -- made a revenue increased assumption and said, " Oh, my goodness. This is great. You guys are going to be generating lots of cash in the immediate future." So I just wanted to raise awareness that because of -- as I said, because of what we're seeing on the revenue growth side, our expense base is going to start to increase for 2 reasons: one, to support where we are today, but we're also starting to think about our budgets for 2021 and how we position the company going forward. And so we're going to see increasing creep in our cost base to support that view. 
Robert Young: Okay. Second question would be around, you said that AWS fees are higher, which suggests higher activity, even though the gross margin bounced up. So are you still seeing that high level from earlier on this year continuing? 
Ian Kidson: In terms of usage, we are. Part -- in part, our margin increase was mathematical this quarter. If you look at the relative proportions of professional services and subscription revenue, as you know, the margins that we earn on professional services are nowhere near the margins that we earn on subscription revenue. And as a consequence, that helps our margins. 
 Claudio, did you have something to add? 
Claudio Erba: Yes. Rob, a couple of points here. First of all, you know that with the coronavirus, we -- our actual customer base increased the adoption of the platform. That means that on AWS, they are also consuming more resources. It's not material, but it's -- I mean, it impacts on costs, but it's a great sign on the fact that they are way -- adopting way more the platform, which makes me happy. On the other side, we are also releasing new features that are slightly increasing the consume of the AWS. Imagine, every time we are allowed a new AI algorithm or a new -- we have released our new reporting system, which increased the performance incredibly, that require a new technology based on data lake. That means we are investing on technology. And the fact that it's slightly increasing our cost base does not scare me because means we are innovating, which makes me more happy. 
Robert Young: Great. And then maybe just last quick one just because Alessio is on the phone call. The investments in sales to existing customers that seems like it's really benefiting, particularly at the larger customer end. If you can talk about the investments and how those are working out? And I'll pass the line. 
Alessio Artuffo: Thanks, Rob. Very pleased in the entire supply chain of the sales organization. We're very pleased with the pipeline and sales execution, overall ramp of the resources that we brought on board. You mentioned the large customers. I want to remind everybody that our goal is to -- we love large customers, but we have a tremendous focus on departmental adoption. We love entering in these large organizations, affirming ourselves on a single use case, creating successful momentum and growing from there. And that is really what we're mastering and operationalizing. 
Operator: [Operator Instructions]
 Next question comes from Suthan Sukumar from Eight Capital. 
Adhir Kadve: It's actually Adhir on for Suthan here. So one of the questions I wanted to ask was, the customer wins in the quarter, are they coming from legacy platforms or are they generally net new customers to e-learning? And generally, how is that mix kind of evolving? 
Claudio Erba: Yes. I'll let Alessio handle this answer. 
Alessio Artuffo: Fantastic question. So there is a very good mix across our customer acquisition. And I would say there are prevalently 2 scenarios and 2 types of customers. One is from the net new logo side. So a company that is using the Docebo for the first time, somebody that replaces their existing legacy system. We certainly see certain large vendors losing momentum, particularly in the mid-market and enterprise segments. 
 With regards to important customer acquisition, the other stream that's relevant is to say that our customers in our base that we are cross selling. So the second stream that is really important to us is not only the net new logo that comes from acquisition or their choice of substituting their existing platform, but it's a referral from an entity, like Walmart, for example, to another entity in the holding or a sister company. Those are the 2 mainstream examples of our new customer acquisitions. 
Adhir Kadve: Okay. Appreciate it. My second question was just around the OEM opportunity. Obviously, 2 or 3 good -- 2 new wins, do you see just the back of those, do you see any potential acceleration in that channel? And have you seen any new level of interest or higher level of interest from partners approaching you? 
Claudio Erba: So selling to OEM, it's tough, not because our product is not mature, but the opposite. I mean, our product [ use ] soft feeling and modular that prototyping and OEM integration takes time. And also running out the customer, enabling the customer takes time. But on the other side, what we are seeing is that we are finding new ways to OEM our product, and we are releasing in beta early 2021, what we call pervasive learning. That means not an LMS embedded inside, let's say, an HCM platform, but don't forget that we can be embedded inside the talent management and ERP, you name it. But modular piece of LMS or training content inside the software itself, means that the training is hunting your learners when he's inside another software. Expanding these features will allow to 
 [Audio Gap]
 our OEM potential partner more opportunity to train their customer base or to distribute Docebo in different ways. That said, yes, we are talking with other vendors. And yes, this is a strategy to sell globally. Because, I mean, selling in OEM in Asia is way more easy than opening an office in Asia. 
 That said, it's a long-phased sales. So it's a long sales process. And I don't know if Alessio want to add some flavor or color on this answer. 
Alessio Artuffo: Yes. Look, we love these long-term strategic partnerships. But Claudio, you're absolutely right. 
 These are not a 3- to 6-month sales processes. They involve a go-to-market decision on the company that we're partnering with, and the conversation is very deep at a very executive level. With that in mind, I think some flavor that would be appreciated is we're seeing a trend in demand and request from sectors like HRIS, HCM, talent experience and talent management, sales enablement and performance management. These vendors and as well as -- customer success, I should say, these vendors are succeeding in their markets, but they're realizing day after day that learning is a critical component in offering a solution to their customers. And they're wondering should we build it? Or should we buy it? Or should we OEM it? And the fact that we have a solution that is so technologically plug-and-play, it makes that decision for some of them a no-brainer. And so we're very well positioned to capture those opportunities globally, but we need to be cautious about selecting the right ones and partnering with the right people. 
Operator: The next question is a follow-up from Robert Young at Canaccord Genuity. 
Robert Young: Sorry, can you hear me now? 
Alessio Artuffo: Yes. We got you, Rob. 
Robert Young: Okay. Great. Sorry. Last couple of quarters, you said that you were putting more thought into how you qualify the funnel to try and drive better conversion just because of the high level of new interest. And I was wondering, can you talk a little bit about that? Have those steps yielded any benefits? Are they helping you focus on larger customers? Maybe just a little bit there would be helpful. 
Claudio Erba: Yes. I'll let Alessio answer because we will be very proud on answering on this. 
Alessio Artuffo: Rob, it is great to hear from you and the question. Thanks for that. Well, look, the inbound traffic and the pipeline overall, they both remain strong, and we're very happy with it. And you're right. The reality is March and April, particularly presented an all-time high in volume because the world was just adjusting to working from home. And this reality is normalizing gradually, yes, and we're seeing more back to normal in a way from a volume standpoint. But more importantly, for us, the inflow of companies that are looking to change their existing solution has remained very solid. So look, our job here remains to work extremely diligently on that process of qualification and working. And when we do that, Rob, here's what happens. When we do that with a strong presales organization, when we couple that with a stronger customer experience organization, 2 things that typically happen: one, our win rates increase because we're working better leads; two, our sales cycle decrease because we're working  the right leads. So when you really focus on the right leads, you put on the right leads, the right people at the right segment at the right time with the right training, you create that engine that we aspire to have that's kind of unbeatable, right, and that continues to grow. And we've been really focusing on operationalizing this to an extreme level of detail. 
 And I hope that answers your question, Rob. 
Robert Young: Yes. No, that's great. Maybe I'll ask a little more about sales process. You had a lot of front-ended -- front-loaded hiring of salespeople, I think, in January and February. And I think you've said that 6 to 9 months is how long it takes to get to a level of efficiency. Is that what you're seeing? And should we expect that, that big influx will pay dividends as we trend towards the end of the year? 
Alessio Artuffo: Sure. Yes. On balance, 6 to 9 months is a fair average when it comes to ramping in -- and we discussed this in the past earnings call. When you look at the ramp, you always need to keep into account the markets that these salespeople operate in. You guys understand really well the difference between a commercial segment sub 500 employees and then mid-market enterprise segment. You understand how deals at sub certain amount of money are 3 months versus 6 months, and the larger ones are 6 to 12 months. So our ability to observe the ramp and the time to first deal and time to second deal is one thing that we're extremely focused on to measure the productivity of new sellers. 
 With that said, a couple of things and again, flavor that you'll appreciate. In order to continue to not only ramp the new sellers and make them successful, but also continue to train and certify the existing ones, we're investing in the right way, although cautiously, but investing in enablement. We don't want to have that behavior where we hire a lot of sales people, but we don't have the brains to train them. And so we're really creating that culture and the engine of -- sure, having the right people but also having the infrastructure to train them and make them successfully when they are first hired and a year in the company. That's a tremendous focus for us. 
 Hey, we're a learning company, right? 
Robert Young: Yes. And maybe on the churn, you'd said that you're seeing a little bit of churn from smaller customers. I think that's intentional. And then maybe some of the more harder-hit end markets. How should we think about churn going forward? Are you -- do you think you're through the worst of that? Or should we think of that continuing through the year? 
Alessio Artuffo: Rob, I'll pass it to Ian. 
Claudio Erba: Yes, Claudio speaking. Rob, before passing this to Ian, I just want to remind that we are still -- we, as the word of the global economy, we are still in the worst global crisis ever. And the business situation for the Docebo is both headwind and tailwind. And this churn, I mean, can be considered our headwind. 
 That said, the future is not predictable overall, but Ian can give you some more context on the way we are trying to forecast the future of customer stability, customer adoption and so and so on. 
Ian Kidson: Thanks, Claudio. So Rob, as you know, our contracts renew over the course of the year and our customers pay upfront. So the churn that we experienced logically in one quarter should continue over the next 2 or 3 quarters if we remain in the midst of the pandemic. It is our sense that are improving. There is no question that certainly, Europe has undergone a fairly dramatic improvement in the last 3 months. The U.S. is still having a bit of a tough time and whether they revert back or not is -- has yet to be seen. But, but I would expect that when you look at our historical churn levels, we're going to continue to be higher than our historical levels over the next the next 2 quarters, for example. 
Robert Young: Okay. Maybe last question, just on the Shape product that you're talking about. Impressive that you've been able to maintain the R&D roadmap and the activity there. Has there been any impact at all to the timing of R&D rollout from COVID, be the first thing? 
 And then on Shape specifically, its artificial intelligence, as you highlighted. But -- in talking to a couple of customers, it seems as though they really liked the administrative benefits from putting some of the content creation onto an automated platform just for different languages, different geos. I was wondering if you could just talk about the administrative benefit and maybe some of the feedback that you've gotten from the customers you're testing with. And then I'll pass the line. 
Claudio Erba: So yes, Rob. First of all, productivity of the roadmap overall surprised me because we really hit every release that we have planned for all the products, not only for the Shape or the other new product, but also for the legacy. We just had 2 weeks delay, only one small module over the past 6 months, which for me is impressive. And I'm always unhappy on how we develop the product because I'm very picky. 
 On the other side, about Shape. We are ending in the next week, the data program with the customers. That means we are already in the phase where we are gathering all the request of the customers on how they use it, what are the best use case, what are the use cases that are not covered by Shape and stuff like that. Overall, a lot, an incredible potential. Let's say you know that AI algorithm performed way better in English and in Chinese, just because of volume. You can train -- the more you have data, the more you can train algorithm that, for example, capitalization, identify subtitles and create subtitles dynamically and so on and so on. In the first version, Shape was working in English only. Now that the algorithms are maturing also because of big giants like Facebook make public papers on how to manage the multi-language, we are already rolling out multi-language capitalization and so on and so on. That means that this AI self-video creation system, which is Shape, can support more than English and few other languages, but extending the language capabilities. 
Operator: There are no further questions at this time. I will now turn the call back over to Claudio Erba for closing remarks. 
Claudio Erba: Thank you, guys, for everything, and let's meet in the next quarter. 
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.